Operator: Ladies and gentlemen, thank you for standing by and welcome to the IBEX Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised, today's conference call is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today to Brinlea Johnson with The Blueshirt Group. Thank you. Please go ahead.
Brinlea Johnson: Good afternoon and thank you for joining us today. Before we begin, I want to remind you that the matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call and we undertake no obligation to revise this information, as a result of new developments, which may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our final prospectus filed with the Securities and Exchange Commission on August 10, 2020 and our Form 20-F filed on October 23, 2020. With that, I'll turn it over to Bob Dechant, CEO.
Bob Dechant: Thank you, Brinlea. Good afternoon and thank you all for joining us today, as we discuss the Second Quarter Fiscal Year 2021 Financial Results for IBEX. We are excited to speak to you today as Karl and I share our business overview and the financial results. In May 2015, when I joined IBEX as CEO, I established three clear goals for the company. First, we would aim to be a growth leader. Second, we would become a leading player in the nearshore markets. Lastly, we would drive EBITDA margins to 15% and beyond. I am proud to report that we are achieving, each of these goals as demonstrated by our record second quarter results. Revenues increased 9% over the prior year to an all-time high of $117.2 million, as our organic growth continues to outpace the industry. Second, our success in the nearshore markets has been validated and recognized, as we received the very prestigious Frost and Sullivan Central America and Caribbean CX Company of the year award, as a follow-on to our Nearshore Company of the year award, which we received last year from Nearshore Americas. And third, we achieved 15% EBITDA margins for the quarter, an increase of 19% year-over-year. The second quarter for us is all about execution, as we need to deliver on critical seasonal ramps for our clients. Our operational teams were exceptional, notwithstanding the growing cases of COVID-19 throughout the world. We continue to keep all of our centers safe and functioning as well as leverage and scale our work-at-home agents. On top of that, we are launching new centers around the globe at a faster pace than any of our competitors. In the second quarter, we added our fifth center in Jamaica, which comes on the heels of our September opening in Ocho Rios. We also added significant capacity in the Philippines in both Metro Manila markets as well as in our provincial footprint on the island of Bohol. Our reputation and differentiation as a leader in BPO 2.0 continues to fuel our growth and pipeline as deal flow becomes larger and has more velocity. Q2 was an excellent quarter as we won several key new logos, two of which span into our strategic healthcare and utilities verticals. We also had great traction on significantly expanding our sales pipeline, which we believe will drive growth in the second half of FY 2021 and future quarters. Based on our strong performance, our success with winning new business and our unparalleled ability to protect the fort of our embedded base clients, we are raising full-year guidance once again. We have some notable key elements that distinguish us and our record performance. Our wins are with clients that are transforming their customer experiences rapidly to a digital first offering. These clients are new economy clients and blue-chip clients that are digitally transforming themselves. These iconic brands are looking for partners that can help enhance the customer experience at all points across the customer lifecycle by leveraging technology and analytics, amazing branding and culture and on-demand scalability and the pandemic has amplified these requirements. And as a result, the competitive landscape has further stratified from those who can and those who can't. This is at the core of BPO 2.0 and that's the heart of why we're winning faster than our competition. Let me give you three specific examples of our leading solutions and how we integrate Wave X technologies to win or expand with some of the biggest customers in the world. First, one of our largest blue-chip clients is undertaking a strategic transformation of their core business to digital and streaming. With the need to adjust to rapidly changing behaviors of consumers, we launched a platinum site in the US with the objectives of; one, provide frictionless customer service for their early tenure video customers. And two, elevate to a platinum customer experience for their high value customers. Anchored by our Wave X technology, we developed a BPO 2.0 solution that included our proprietary AI analytics and performance tool set to deliver a 20% faster path to proficiency. Our enterprise grade BI suite to deliver end-to-end real-time customer interaction analysis that is driven at 12% reduction in repeat and transferred calls. The transformational customer experience is being complemented by a highly branded site, an award-winning agent engagement and is now enabling our client to win the JD Power award for customer service. Not only have we exceeded our clients objectives, we are now developing and deploying similar solutions across the retail lines of business. As evidenced, our Wave X purpose-built technology stack is clearly playing a big role with both new economy and blue-chip clients. These next two examples highlight our ability to consistently win on a big stage with clients in the e-commerce world, as consumers are rapidly moving to digital first transactions and brick-and-mortar retailers convert to a click-to-home model, for one of North America's largest specialty retail and e-commerce companies, IBEX displaced a struggling vendor. We were able to help the client prepare for the fast-approaching 2020 holiday season that was compounded by COVID-19 and the volume shift to digital support. IBEX leveraged its highly scalable work-at-home operation and deployed 50% of the required staffing headcount from at-home locations in the Philippines with the total ramp to approximately 500 agents. We leveraged our Wave X virtual performance management tool set that allows for real-time KPI management, desktop audio and visual monitoring, KPI gamification dashboards, lifetime coaching and data security toolset to ensure a seamless and secure virtual engagement. Using proprietary glide path modeling, developed by -- in our Wave X BI module, our workforce management operations and training divisions were able to forecast the clients Black Friday through Cyber Week needs with remarkable degree of precision. Impressively, we reached a forecasting accuracy for FTE production hours of 99% in November and 103% during December of 2020, ensuring success for this most important holiday season. Now finally, we were able to assist one of the world's largest secured New Economy e-commerce companies based outside the US that have hundreds of millions of users. The company was faced with the need for a secured on-demand digital first solution, as they built a promotion replicating the shopping phenomenon of 11/11 Singles' Day in China in new markets. IBEX was selected as the strategic partner of choice in the region, based on our ability to rapidly scale a brick-and-mortar and work-at-home solution along with our ability to integrate our Wave X technologies into their core platforms to ensure a secure environment. IBEX displayed the agility and flexibility to hire over 200 agents within days. The partnership with IBEX resulted in our clients best ever returns on contact center answer efficiency rates, bundled with our trademark great customer experience scores. As a result, we are now positioned for a multi-year close relationship and partnership. In short, IBEX has become the partner of choice for a growing legion of iconic brands. Not only are we securing new clients across various segments, but our share of wallet in the installed base continues to increase, as we consistently win new lines of businesses, new services, and expand new geographies. Our employees remain our main priority. I am delighted to report that we continue to pass 100% of our health orders and as a result, have had each of our centers operational for the past three quarters. Additionally, we have mobilized close to 100% of our workforce back to pre-COVID levels. I also want to thank our leadership and frontline personnel, who have demonstrated unbelievable perseverance and commitment in the face of adversity. Your resilience and agility are the foundation for our incredible results, your performance is the gold standard. I would also like to recognize and thank our shareholders for their continued support. In summary, we continue to lead the BPO 2.0 revolution, our disruptive and innovative customer experience solutions uniquely position us to deliver breakthrough results for our clients. Our ability to provide complex critical support for our clients in a highly digital economy, a recognition for exceptional performance and our strong financial results position IBEX for long-term success. I will now turn the call over to Karl Gabel, our CFO, who will walk you through the key financial highlights to the quarter and provide you with our updated guidance. Karl?
Karl Gabel: Thank you, Bob and good afternoon everyone, thank you for joining the call today. Our significant growth is a result of increase in client demand for our critical value proposition and delivering on the operational fundamentals that have made us successful. We continue to see strong demand from our new economy clients, increased share of business from our installed client base, overall improvements in client concentration and we are optimistic about the outlook of the business. Revenue in the second quarter of $117.2 million increased by 8.7%, compared to the year ago quarter, new economy revenue grew 10.5%, non-voice revenue increased slightly and digital revenue decreased 3.4% compared to the prior year quarter. After adjusting for one client that was significantly adversely impacted by the pandemic, which we believe is more indicative of the business, new economy revenue grew 28.1%, non-voice increased by 16.2% and digital growth was 4.1%. Revenues in the first half of the fiscal year were $226 million, up 11.2% from prior year. Net income in the second quarter of 2021 was $2.5 million, including $1.6 million of non-recurring COVID-19 related costs, compared to net income of $4.8 million for the same period last year. On a non-GAAP basis, excluding non-recurring expenses, fair value adjustments and share-based payments, adjusted net income was $6.2 million versus $5.6 million in the prior year quarter. Non-GAAP pro forma fully diluted adjusted EPS was $0.33 in the second quarter of 2021 versus $0.30 in the prior year quarter based on 18.7 million shares outstanding. Adjusted EBITDA increased 18.7% from the prior year quarter to $17.6 million or 15% of revenue, compared to $14.8 million or 13.8% of revenue for the same period last year. We are delivering adjusted EBITDA margin expansion by increasing our new economy revenues, which drives growth in our offshore, nearshore geographies, as well as growth of our high margin services such as non-voice and digital services. Our achievement of 15% adjusted EBITDA margin is a significant milestone for the company. Turning to client mix in the second quarter. Our top three client concentration continues to decrease quarter-over-quarter. In Q2 fiscal year 2021, our top three clients represented 36.4% of overall revenue, down from 45.1% for the same period last year. The revenue generated from clients outside of the top three increased by 25.9% and are the main drivers of the overall revenue growth. By vertical market, telecommunications decreased to 29.5% of revenue from 36.2% in the prior year quarter, whereas retail and e-commerce increased to 22.6% of revenue from 16.2% for the same period last year. Second quarter operating cash flow decreased to $4.3 million from $5.9 million sequentially. We had an increase in cash flow from operations, excluding working capital changes of $5.2 million, which was offset by negative change in working capital of $6.8 million. The negative change in working capital was primarily attributable to a timing difference in trade and other payables offset by a reduction in the DSO. On a year-over-year basis, second quarter operating cash flow decreased to $4.3 million from $18.6 million. We had an increase in cash flow from operations, excluding working capital changes of $1.4 million, offset by a negative change in working capital of $15.7 million. The negative change in working capital was primarily attributable to a temporary DSO reduction, mainly related to one key client in the prior year quarter and the timing of trade and other payables. DSOs, which are currently below the industry average and for the second quarter was 48 days, down three days for the same period last year, down to five days sequentially, we continue to focus on timely client invoice collections. But looking ahead, expect our DSOs to increase during the remainder of the fiscal year 2021, as the temporary decrease related to one key client mentioned earlier is expected to reverse. The balance sheet remains strong with $74.6 million in cash compared to $21.9 million as of June 30, 2020 strengthened by the net proceeds of the IPO in August. Net debt increased to $50.7 million compared to $35.5 million as of September 30, 2020 primarily due to an increase in lease liabilities, associated with bringing on new capacity such as our new site in Portmore, Jamaica, growth capital expenditures and a net working capital outflow, offset by strong operating results for the quarter. Capital expenditures were $7.2 million or 6.1% of revenue for the second quarter of 2021 versus $4.1 million or 3.8% of revenue for the year-ago quarter. We added approximately 1,000 workstations this quarter due to the expansion of our Philippines sites and adding the initial 400 seats in our new site in Portmore, Jamaica. This site in Jamaica has capacity for another 800 seats that are being built out over the next quarter. On a normalized basis, excluding the effect of the warrant fair value adjustment, which is in an non-taxable jurisdiction, our second quarter tax rate is 24%. For the current fiscal year, we expect our normalized effective income tax rate to be between 17% and 20% in line with 18% for fiscal year 2020. Before I turn to guidance, I wanted to provide a quick update on Frontier. Based on recent publicly available news reports, Frontier appears to be on target to emerge from bankruptcy in early 2021. Frontier has received regulatory approvals from the FCC in 17 out of 18 states. We are encouraged by this positive news and are proud to be partnering with Frontier. Turning now to our full-year 2021 guidance. Given our over performance for the second quarter and the strength of our deal flow and pipeline, we are raising our guidance for both topline and adjusted EBITDA. We are increasing revenue guidance to $445 million to $448 million from $440 million to $443 million. The midpoint of the increase represent a 10% increase from prior year. Additionally, we are increasing guidance for adjusted EBITDA to $62 million to $63.5 million from $60.5 million to $62 million. The adjusted EBITDA midpoint represents a 60% increase and a 700 basis point improvement in margin from fiscal year 2020. In closing, the revenue momentum we experienced last fiscal year continued through the first half of fiscal year 2021. We are focusing on strategic long-term growth, which fuels our leadership position in BPO 2.0. Our ability to transform the customer experience is evidenced by the pursuit and award of critical business from clients, who are focused on growth and improvements and their customer experience. And as a result, we expect to continue to deliver impressive results. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Tobey Sommer from Truist Securities. Please go ahead.
Tobey Sommer: Thank you very much. Good afternoon. Could you talk about what you've learned in terms of on-boarding new internal talent and agents in the pandemic. And what you see the challenges are in managing those, because you're growing so quickly that your hiring must be very significant. I know it's something we've touched on another calls, but updated thoughts would be appreciated.
Bob Dechant: Sure, Tobey. And thanks for joining the call and appreciate the question and it's a great question and I think first the hiring starts with the reputation that you have as an employer in the region and in our real growth markets of the Philippines, the Jamaica, and of the Nicaragua, the IBEX brand is second to none. And so when we need to ramp up for and I'm telling you for on-demand capacity, it's really where the industry is right now. We are able to attract a significant number of candidates that want to come and work for IBEX and especially in markets like Jamaica or Nicaragua or provincial place in the Philippines, where tourism has historically been a big part of their economy, we're able to attract some great people and great leadership, and so we've been able to fill 100% of our classes globally. We've been able to fill Management very easily as we scale, some of that comes from internal, some of it comes from external. And then the challenge is how do you train them and we between our Wave X training modules that are in center and also have been adapted now for work-at-home, we're able to get our agents trained, skilled, and ready to take phone calls and digital contacts real fast and so we feel like we have excelled in that in this industry versus anybody in this industry.
Tobey Sommer: Thanks. As a follow-up question, could you talk about the gross impact, both positive and negative on your customer base related to COVID pandemic kind of work from home and lockdown and how you see that the impact changing, as the vaccine rollout continues and hopefully life resume some normality?
Bob Dechant: Sure. And so, as you know, there has been winners and losers in industry based on various market segments and business models, those that have many of our clients that we have, by nature of new economy and kind of digitally-oriented client base have been on the winning side and so we've -- our requirements for our existing clients have been as strong as ever. What has happened is with COVID, they view that the ability to find a provider that can provide on-demand capacity and the way they think of that is a combination of in-center and work-at-home is what they're looking for and so more than ever, they are looking for those that are aggressively going and expanding and that's why we've looked at the market and we said we're going to continue to go down the path of building out centers and we put two centers in Jamaica in roughly 60 days, one that we fired up in September and one that we fired up in our Q2. And having that capacity as clients are looking, we're able to grab that volume faster than anybody else and then complement it with work at home. So, I think that behavior has really changed and the speed of the on-demand capacity and how they are making decisions has really accelerated, the velocity of those decisions are extremely fast. And how I think that looks out down the road? I think that those characteristics and those attributes are the types of partner that clients are going to look for. I think it plays more into a continued outsourcing of their strategies and not looking at captive. So I think you'll see an acceleration of percentage of business that's in-sourced to outsourced. I think that clients are aggressively seeing this industry, BPOs as a player for that growth.
Tobey Sommer: Thank you very much.
Operator: Thank you. Our next question comes from the line of Dave Koning from Baird. Please go ahead.
David Koning: Yes. Hey guys, great job again.
Bob Dechant: Thanks, Dave.
David Koning: Yes. And I guess I'm kind of wondering in the back half, how we should think about the revenue trends, kind of, when we think about the wins, the client wins coming on, how should we think of that pacing out and maybe those wins are actually more impactful, I would think I guess the 2022 and if that's the pipeline that probably keeps the same level of growth kind of going into next year. Just sort of thinking about the pacing, I mean, should we think of both Q3 and Q4 being high-single digits pretty similar and then into next year now pretty similar too?
Bob Dechant: Yes. That's a good question, Dave. There is a lot of what I say upside that's out there that the teams are really, really looking at closing and then speed back to this on-demand capacity and scalability. So there is a lot that's out there that I feel really, really good about, now depending upon how fast those deals close and then how fast the actual client requirements are, there are some upsides on beyond kind of this, where we are tracking right now. But that's stuff that we still have to go out and hit and I think you hit the nail on the head. Those definitely would have a big impact in '22 and less -- to a lesser extent in in the second half of the year, but we feel good about. We feel very good about the second half and that's why we -- why we moved up guidance to where Karl talked about.
David Koning: Yes, sounds great. And maybe just as a follow-up, you talked about the heavier investment this quarter, getting new centers ramped up, which you can leverage later, is the rest of this year, though -- should we expect free cash flow positive now the rest of the year, just given you did the heavy investment already?
Bob Dechant: Yes. Great question, Dave. Karl, why don't you jump in on that.
Karl Gabel: Yes. So, David, good question. And I think if you look at the -- if you look at the first six months of the year, it's kind of a good way to look at the cash structure for the company that takes out the timing difference with trading other payables. So if you look at kind of like from that perspective, the operating cash, excluding the working capital was about $21 million and then the working capital was really driven by the growth in the revenue, right. So the way we look at it is, like we said, we manage our working capital and our DSOs et cetera on our client collections. But we're in a position now with our CapEx that if there are good opportunities, then we can quickly go after new type of opportunity. So, when you grow CapEx and it was at $7 million, which is about 6% for this quarter, but like we said in our prepared comments, there is about another 800 seats, right, of the one site that's in Portmore that's being built out in our Q3, so I think from a working capital perspective or from a cash flow perspective rather, you could look at this first six months and for when you look at the free cash flow if you layer in the CapEx, we still have some build out said in process, but we also have the balance sheet now and if the demand is there, we can act pretty quickly and capture the demand will be very quick with the CapEx. So yes, I think hopefully that answers your question, I think if you look at the first six months, but I would just say from a CapEx perspective, you know if there is opportunities just like it was with $4.2 million, the company does have the balance sheet to invest in that CapEx.
David Koning: Yes, got you. Thanks guys, great job.
Bob Dechant: Appreciate it.
Operator: Thank you. Our next question comes from the line of Arvind Ramnani from Piper Sandler. Please go ahead.
Arvind Ramnani: Hi, thanks for taking my question and congrats on another really good quarter. I had a question more from an operational perspective, how are you thinking about staffing in a post-pandemic environment, specifically as company -- as employees started to take more travel and vacation over the next 12 to 18 months, are you looking to staff at higher level and I would imagine, there will be some level of productivity pressure, just given that -- given people may want to kind of travel a little bit more actively in a post-pandemic environment.
Bob Dechant: Hi Arvind, thanks for joining and thanks for that question. And that's really good call-out on where probably all business are going to go, as not many -- not much traveling has occurred from anybody and so, look, I think we will find that our folks will look to do that, but again if you think about the nature of the agents and all of that, not very often are these folks getting on planes and flying, flying to whatever destinations and all. Their vacations, their travel are local and so I don't see that there will be a massive kind of productivity loss out of that workforce through that, you might have a little bit that we might have to -- might have to staff up a little bit for, but -- we've done an amazing job and my operations and workforce planning team, if we're losing people or let's say and here is a perfect analogy, when we -- when COVID started heating up in the markets, you'd have a random agent that would have that and next thing you had kind of 15 -- you might have 15 people that you have to Quarantine that from contact tracing and all. Our team has done an amazing job of driving productivity out of those workforce leveraging over time, things like that yield the end result that we want and I'm pretty sure we'll be able to manage through that and not have it really impact our business negatively.
Arvind Ramnani: Yes, that's really helpful. And I guess from a demand perspective, there were certain clients that are probably impacted and it's difficult to do to kind of predict the cadence of when they will come back, but is there some level of sort of planning in terms of making operationally ready to see surge in demand from some clients, who were underspent and there may be some pent-up demand over the next couple of years?
Bob Dechant: Yes. Very, very good question. We've been very lucky that not many of our installed base clients have been negatively impacted. And we've been very, I think that's a result of the types of clients we have attracted. Now, we all know that the world of sharing, ride sharing and things like that have been negatively impacted in a large way and we do a lot of digital work in that market and we've spent a lot of time working through models and leveraging our models on what we think the trajectory of the head count and as that comes back, how fast does it come back in the contact centers and what I really would then call out is, they're having those discussions with us and they're not with other partners in network, because they trust us, they trust the intelligence of our workforce team and technology and just the partnership. And so we've built the models of where we're going with them and the type of market share gains that we can grab out of that and so we feel very strong about that relationship in the upside that would be out there for IBEX and winning more than our fair share. And so, it's really limited to one client as we think through that and so many of the other clients are just in really, really aggressive growth, which is part of what we love about our business end of -- our vectors of growth that we've built here.
Arvind Ramnani: Great. Thank you very much and good luck for rest of the year.
Bob Dechant: Thanks, Arvind.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Dan Bellehsen from Columbia Threadneedle. Please go ahead. Dan, if you have your line on mute, please unmute your line.
Daniel Bellehsen: Hi guys, I hope everyone is healthy and well. I was hoping you can share what differentiation you're able to offer today that you were unable to previously, that's driving the customer service experience and also the customer value proposition, namely that your competitors are unable to do right now, particularly around your new economy and platinum business that really seems to be doing quite well. I'd love if you guys can drill down into that more granularly to help us understand of what really is being offered there that's new, incremental and differentiated. Thank you.
Bob Dechant: Sure. And Dan, thanks for joining and great question. This business is a world of intangibles and so sometimes differentiation is very small degrees of differentiation, but in the world of BPO 2.0, which we've kind of been evangelizing, we believe that we now start moving beyond subtle degrees of differentiation and into actual tangible differentiation and it starts with the Wave X technologies that we have and our BI technologies that are part of Wave X. And these technologies are all geared or many are geared around ensuring the effectiveness of the agents that we're hiring are profiled properly and better than -- that are trained better than and then when they're on a contact, that those technologies can make the agent, more efficient or more effective on delivering an experience. Let me give you an example. AI technology that can real time help an agent solve an issue. So in the old world, you'd have an agent talking to the customer and then they'd be necessarily perhaps going and having to get to an FAQ or knowledge base, it's kind of hard to talk, be really effective deliver an experience, while hunting and pecking for an article. That's challenging, that's a real challenging element of this job. Now having AI technology that enables an agent to have that information keyed up, that the technology is listening and tee up and so the agent kind of has it at their fingertips and provides an answer. Those things are very easy now in the sales cycle to articulate and demonstrate and so now, you go from these real subtle piece of intangible differentiation to this is black and white and what's really interesting is in the world of virtual selling and Zoom meetings and things like that. Those things come across -- those things come across the Zoom call and they're easy to articulate, what other things are some intangibles, the IBEX culture and what we do in a center and around our engagements and our branding, those come across in tidal waves on the Zoom calls, as they do when a client comes to our site. But what's interesting is we can get this done so much more efficiently and effectively right now and so we're able to have these site tours with key clients in the final decision making, we're able to do those rapidly and then win at a disproportionate rate. So that kind of gives you hopefully an idea of some of those things and so inside Wave X, there is a lot more of -- lot more under the covers, but the AI technologies for agent effectiveness that's one that we just really, really resonates well.
Daniel Bellehsen: That's really helpful. And you spoke earlier in a similar way about becoming more of a partner to some of your clients. Is this an area, where you could see yourself investing behind over the medium term, maybe even carving a different level of more qualified agents in your staff that you can go to market with and say, here we have this premium level offering end-to-end now and you get X, you not only get Wave X technology, but you get this higher trained, higher paid, better qualified team of people that will really become more a brand ambassador like?
Bob Dechant: Dan, you read the business plan of our platinum offer of the solution that I talked about in the remarks. That's exactly what it is. It was -- let's look at -- and again, think about the US market as historically the agent, the agent contact center job hasn't been the most desirable of jobs, which is very different than in places in our nearshore and offshore markets. This is now geared at really recreating a really good job and so we're paying at a fairly good premium for these folks. So we attract a much better talent, the attrition because you're paying that is significantly lower. Additionally, one of the big drivers of agent attrition is just kind of getting worn out by dealing with customers time and time and time again that may be hostile, maybe angry, may be complaining and the idea of now having a platinum experience, where when the contact takes place, you've kind of already put a concierge close approach to it. The stress levels out and so I think that drives into that. So that really was the whole theory of that and that's where we've been out there kind of building and leveraging between the agent, the facility and the branding that's inside the facility and then the technology we layered in. And those results are making impact and our results are off the charts and make them and for this one client, really help to move up from middle of the pack to a JD Power award winner.
Daniel Bellehsen: Got it. Very helpful. Thanks so much for answering the questions.
Bob Dechant: Sure.
Operator: Thank you. I show no further questions in the queue. At this time, I'd like to turn the call back over to management for closing remarks.
Bob Dechant: Sure, thank you very much. And thanks all for attending the call and appreciate all the questions. Well, I think we just had a great first half of the year as offer to fantastic prior year and all key indicators of the business are really moving in the right direction from client concentration to new economy growth, nearshore, off-shore growth, new logo growth. We feel really good about our business and we look forward to getting together in a quarter from now and sharing our results. So, thanks for the participation. I hope you all stay healthy and if you're in the Midwest or such, I hope you all stay warm and safe. So, thanks, everybody and go IBEX.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.